Operator: Good morning, and welcome to Alico's First Quarter 2025 Earnings Call. Currently, all participants are in a listen-only mode. As a reminder, today's conference is being recorded. I would now like to turn the call over to your host, John Mills, Managing Partner at ICR.
John Mills: Thank you. Good morning, everyone, and thank you for joining us for Alico's first quarter fiscal year 2025 conference call. On the call today are John Kiernan, President and Chief Executive Officer; and Brad Heine, Chief Financial Officer. By now, everyone should have access to the first quarter fiscal year 2025 earnings release, which went out yesterday at approximately 4:00 p.m. Eastern Time. If you've not had a chance to view the release, it's available on the Investor Relations portion of the company's website at alicoinc.com. This call is being webcast, and a replay will be available on Alico's website as well. Before we begin, we'd like to remind everyone that the prepared remarks contain forward-looking statements. Such statements are subject to risks, uncertainties and other factors that may cause the actual results to differ materially from those expressed or implied in these statements. Important factors that could cause or contribute to such differences include risks detailed in the company's quarterly reports on Form 10-Q, annual reports on Form 10-K, current reports on Form 8-K and any amendments thereto filed with the SEC and those mentioned in the earnings release. The company undertakes no obligation to subsequently update or revise the forward-looking statements made on today's call, except as required by law. During this call, the company may also discuss non-GAAP financial measures, including adjusted EBITDA and net debt. For more detail on these measures, please refer to the company's press release issued yesterday. And with that, it is my pleasure to turn the call over to the company's President and CEO, Mr. John Kiernan.
John Kiernan: Thank you, John. Good morning, everyone and thank you for joining us for Alico's first quarter of fiscal year 2025 earnings call. I'm going to spend most of my prepared remarks updating you about our strategic transformation, which we announced in early January and how we are already executing on this new strategy, balancing alternative agricultural operations with strategic land monetization opportunities. We have decided not to spend further material capital on our citrus operations after the current crop is harvested in the first half of calendar year 2025, with the exception of a few grows that will be harvested for one more year and our consolidated investment in citri. We will focus our resources on creating new opportunities for profitable growth while also acting prudently on behalf of our shareholders. By winding down our capital intensive citrus production, we believe we are strengthening our financial position. For over a century, Alico has been proud to be one of Florida's leading citrus producers and a dedicated steward of its agricultural land. But now, we must reluctantly adapt to changing environmental and economic realities. Alico owns approximately 53,371 acres of land across eight counties in Florida, as well as approximately 48,700 acres of oil, gas and mineral rights in the state. And we believe that our strategic transformation creates a tremendous opportunity to unlock the value in these assets for our shareholders. Management believes that approximately 75% of current Alico acres can remain agricultural related and approximately 25% can be transitioned and entitled for non-agricultural purposes. We expect to maintain our commitment to the Florida agricultural industry through diversified profitable non-citrus operations following this wind down and also expect to entitle certain parcels of our land for commercial and residential development. The company believes our strategic transformation will improve our ability to provide investors with a greater return on capital that includes the benefits and stability of a conventional agricultural investment with the optionality that comes with active land management. This strategic transformation beyond citrus production will allow Alico to maintain our agricultural heritage while creating new opportunities for profitable growth while also acting prudently on behalf of shareholders. Management and the Board believe that the steps taken to launch our strategic transformation in January went smoothly and efficiently, and we are now well positioned to turn our attention to driving profitability, which begins with harvesting our Valencia crop in early March and should continue through April. We have been consistently transparent about how our citrus operations have faced increasing financial challenges from citrus greening disease and environmental factors for many seasons. As a result of citrus greening and multiple hurricanes, our Florida -- our citrus production has declined approximately 73% over the last 10 years despite significant investments in land, trees and citrus disease treatments. We remain encouraged by updates from Florida Citrus Mutual about the potential for some form of federal relief for the citrus industry for the damage that Hurricane Ian, which struck in 2022, did to the 2023 and '24 crops, and potentially for the damage that Hurricane Milton, which struck in 2024, did to the crops this year. We've explored many available options to restore our citrus operations to profitability, but the long-term production trend and the cost needed to combat citrus greening disease no longer support our expectations for recovery. During our first fiscal quarter, operational results reflected these ongoing challenges in our citrus division, with lower levels year-over-year of pound solids being produced. For the three months ended December 31, 2024, we harvested approximately 4 million pounds solids compared to 4.7 million pound solids in the comparable prior fiscal year. The decrease in pound solids harvested was driven by fruit drop caused by Hurricane Milton. However, due to a 38.9% increase in the price per pound solid that we received as a result of our new Tropicana agreement, we had a $2.5 million increase in revenue related to the early and mid-season harvest. And adjusted EBITDA was $700,000 in the first fiscal quarter ended December 31, 2024, compared to a loss of $2.3 million in the first fiscal quarter ended December 31, 2023. Current season production trends indicate that our total harvest volume for fiscal 2025 will likely be lower than fiscal 2024. These continued production challenges reinforced our recent strategic decision to wind down Alico's citrus operations as they are no longer economically viable. Looking ahead to the remainder of fiscal 2025, we expect to complete our final significant citrus harvest while positioning the company for our next chapter. We are also in the process of closing several land sales, which are expected to generate approximately $20 million in proceeds this fiscal year based upon transactions that are under option agreements or have been negotiated and are expected to close soon. These expected proceeds and cash generated by the Valencia harvest, which will begin next month, are expected to fund operations through fiscal 2027. Alico also has an additional $73.5 million in borrowings under its credit facilities available if needed. We have a proven track record of monetizing certain non-core assets over the past decade. In December of 2023, we completed the final sale of 17,229 acres of the Alico Ranch to the state of Florida for $77.6 million in gross proceeds, which we used to repay all of our outstanding borrowings under our line of credit, which was originally borrowed due to the impact of Hurricane Ian and the $19.1 million balance on our MetLife variable term rate debt, thereby strengthening our balance sheet and reducing our required principal payments through fiscal 2029 to less than $1.5 million per year. In addition to increasing our financial flexibility in September of 2024, we amended our credit agreement with MetLife by extending the maturity of our revolving line of credit until May 1, 2034, which we believe demonstrates the continued support and confidence in Alico by MetLife. We believe that the revolving line of credit provides us with ample liquidity, should we need it, to manage significant weather events as well as to ensure that we have time and capital to realize the long-term highest and best use for our real estate assets. Since our announcement in early January, management has been evaluating inquiries from developers, brokers, agents and principals about possibly acquiring parcels of our citrus acres after this current harvest season. We've also begun selling selected rolling stock and are continuing to evaluate offers to acquire other fixed assets such as trucks and tractors. Supported by these positive factors, the company reiterates that as a result of our cash flow being positive since January, we expect to end the fiscal year with enough cash to meet our operating expenses for fiscal years 2026 and 2027. Alico has also been discussing lease arrangements with many agricultural operators in Florida about possible sod production, expanding sand mining activities and potentially growing seasonal crops such as corn, sugarcane, vegetables such as green beans and fruits such as watermelon, berries on some of the company's parcels. Details about these opportunities will be disclosed once contracts are finalized. As part of Alico's strategic transformation, we continue to evaluate all of our properties to determine what will create the highest and best use for our shareholders. Instrumental in that process is evaluating all opportunities where we can leverage conservation programs to simultaneously create value and enhance environmental outcomes. Alico identified five properties ranging in size from 348 acres to 7,789 acres for a total of 10,484 acres as case studies to explore the opportunities provided under Florida's Rural and Family Lands Protection Program. Those applications were submitted to FDACS prior to the January 2029 deadline and will be evaluated over the coming months. While not all the properties may ultimately be a fit for the program, we look forward to coordinating with the Florida Department of Agriculture and Consumer Services to analyze these properties fit within the Florida Rural and Family Lands Protection program as well as our strategic transformation framework. In the past, Alico has successfully returned capital through optional debt repayments, a tender offer, share buyback programs as well as paying a quarterly common dividend for more than 50 years. As our cash balances rise, whether through land sales or our non-citrus agricultural activities becoming more firmly established, we intend to discuss more specific plans to return capital to investors. Under this new strategy, Alico will become a diversified land company and most of its properties are expected to create profitable agricultural revenues that are not citrus related. The company expects to recognize positive cash flow for the remainder of the current fiscal year after land sales that have already been negotiated closed severance and restructuring costs are paid and harvesting activities conclude. Management estimates that the present value of our current land holdings could be worth approximately $650 million to $750 million, even with approximately 75% of these acres valued for agricultural usage, and assuming 10% of those acres are entitled for development within the next five years. Our entitlement work in Collier and Highlands counties is proceeding on schedule, and we expect to provide our investors with a briefing on our development plans for our Corkscrew Grove once public applications have been filed. Overall, I am very excited about the opportunity this strategic transformation creates to unlock value for our long-term and we look forward to updating you on our progress throughout the fiscal year. And with that, I'll now turn the call over to Brad Heine.
Brad Heine: Thank you, John, and good morning, everyone. While we typically harvest most of our crop in the second and third quarters, generating the bulk of our profit and cash flow during this period, this year's harvest will be concentrated in the first and second quarters. This shift will push our peak working capital requirements into the third and fourth quarters of the fiscal year. For the first fiscal quarter ended December 31, 2024, revenue increased 21% to $16.9 million compared to $14 million in the prior year period. Alico citrus revenue was $16.3 million compared to $13.6 million in the prior year period. The $2.7 million increase in revenue was primarily due to an increase in the price per pound solid, partially offset by a decrease in pound solids produced by the early and mid-season harvest. Approximately 4 million pound solids were harvested for the three months ended December 31 at a $3.69 average price per pound solid compared to 4.7 million pound solids at a $2.66 average price per pound solids in the prior year period. First quarter harvest yields declined after Hurricane Milton severe winds drove an increase in fruit drop rates. The increase in price was a result of more favorable pricing in one of our contracts with Tropicana. Land management and other operations revenue increased 45% to $0.6 million compared to $0.4 million in the prior year period. This was primarily the result of an increase in rock and sand royalty income and sod sales, partially offset by lower farm, grazing and hunting lease revenues due to the sale of the Alico Ranch. Total operating expenses were $25.1 million and $28.2 million for the three months ended December 31, 2024 and 2023, respectively. The decrease in operating expenses primarily relates to the inventory adjustments recorded at September 30, 2024, on the ending inventory balance as a result of the continued weak recovery from Hurricane Ian and the ongoing effects of citrus greening, which effectively lowered the inventory to be expensed in fiscal year 2025. General and administrative expenses for the three months ended December 31, 2024 and 2023 were $2.6 million and $3.3 million, respectively. The decrease was primarily due to lower employee costs as a result of lower bonus accruals and lower professional fees. Other income expense net for the three months ended December 31, 2024 and 2023 was a loss of $0.6 million and income of $75.5 million, respectively. The decrease is primarily due to there being no land sales in the three months ended December 31, 2024, as compared to gains of $77 million during the prior year period, driven by the sale of the Alico Ranch to the state of Florida. We recognized an income tax benefit of $2.2 million and an income tax provision of $15.6 million for the three months ended December 31, 2024 and 2023, respectively. The income tax benefit for the three months ended December 31, 2024 was principally due to a change in the valuation allowance on our deferred tax assets. This valuation allowance is required primarily due to the planned accelerated book depreciation on citrus producing assets, which is anticipated to result in a cumulative three year loss during the fiscal year ending September 30, 2025. For the first fiscal quarter ended December 31, 2024, the company reported a net loss attributable to Alico common shareholders of $9.2 million compared to net income of $42.9 million for the first fiscal quarter ended December 31, 2023, driven by the aforementioned sale of the Alico Ranch. For the three months ended December 31, 2024, the company had a loss of $1.20 per diluted common share compared to earnings of $5.64 per diluted common share for the three months ended December 31, 2023. Adjusted EBITDA was $0.7 million in the first fiscal quarter ended December 31, 2024, compared to a loss of $2.3 million for the first fiscal quarter ended December 31, 2023. Turning now to our balance sheet and liquidity. Cash and cash equivalents were $4.4 million as of December 31, 2024, compared to $3.2 million at the end of fiscal year 2024. Net cash used in operating activities was $7.6 million as of December 31, '24, compared to $13.2 million through December 31, 2023. At quarter end, we had $73.5 million of remaining availability on our line of credit, and there were no significant debt maturities until 2029. Total debt was $104.9 million and net debt was $100.5 million as of December 31, 2024, compared to $92.1 million and $89 million, respectively at the end of fiscal year 2024. Now I'd like to turn the call back to John to discuss our fiscal year 2025 outlook.
John Kiernan: Thank you, Brad. Turning to our guidance. We expect harvest volumes in 2025 to be lower compared to 2024 levels due to the effects of greening and Hurricane Milton. We expect to realize approximately $20 million in land sales in fiscal 2025 based upon transactions that are under option agreements or have been negotiated and are expected to close soon. Our entitlement work in Collier and Highlands counties are proceeding on schedule, and we expect to provide our investors with a briefing on our development plans for our Corkscrew Grove once public applications have been filed. We expect to end fiscal year 2025 with enough cash to meet our operating expenses for fiscal years 2026 and 2027. I am very pleased with the launch of our strategic transformation and the opportunity it creates for our shareholders and look forward to updating you in May, on our second fiscal quarter call. And with that, we'll now open the line up to questions from industry analysts. Marjorie?
Operator:
John Kiernan: In closing remarks, I just want to say thank you to everyone for joining our call today and for your continued support of Alico. We look forward to speaking with you about our second quarter results in May. Have a good day.
Operator: Thank you. Ladies and gentlemen, that does conclude today's conference. We appreciate your participation. You may disconnect at any time.